Operator: Good day, ladies and gentlemen. And welcome to the Fresh Del Monte Produce Inc. Second Quarter 2014 Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. (Operator Instructions) I'd like to introduce your host for today’s conference, Ms. Christine Cannella. Ma’am, you may begin.
Christine Cannella: Thank you, [Vincent] (ph). Good morning, everyone. And welcome to Fresh Del Monte's second quarter 2014 conference call. I am here today with Mohammad Abu-Ghazaleh, our Chairman and Chief Executive Officer; and Richard Contreras, our Senior Vice President and Chief Financial Officer. This call complements our second quarter 2014 press release, which we made public this morning and includes reconciliations of any non-GAAP financial measure we mention today to their corresponding GAAP measures. You can find today’s press release or register for future distributions by visiting our website at www.freshdelmonte.com and clicking on Investor Relations. A replay of this call will also be available on the website. Please be aware that matters discussed on today’s call may include forward-looking statements within the provisions of the Federal Securities Safe Harbor laws. Forward-looking statements involve risks and uncertainties, which are more fully described in today's news release and our SEC filings. These risk factors may cause actual company results to differ materially. This call is a property of Fresh Del Monte Produce, redistribution, retransmission or rebroadcast of this call in any form without our written consent is strictly prohibited. And now, I would like to turn the call over to Mohammad.
Mohammad Abu-Ghazaleh: Thank you, Christine. Good morning, everyone. Our performance during the second quarter of 2014 resulted in net of 11% higher year-over-year and comparable EPS of $1.19 compared with $1.02 for the second quarter of 2013. These increases show our business model is working and highlight the continuing progress we have made in two key components of our model. First, in diversifying our business across all of our geographies, distribution channels and products; and secondly, the success of our cost cutting and inefficiency initiative put in place in recent quarters. Our second quarter results were further enhanced by higher sales volume in all of our business segments, stronger banana pricing in our Europe and Middle East regions along with increase demand for several of our products this quarter, particularly banana, pineapple and avocados. Our prepared food business also had better year-over-year results. During the second quarter, demand for Fresh Del Monte branded product was very strong, especially our Middle East region with net sale 19% higher year-over-year in this market. The Middle East region remains an area of great opportunity for Fresh Del Monte Produce. We also produce our North American product offerings with the launch of protein line in our Dallas facility during the second quarter. This launch allows us to rollout new protein, salad bowls and snack offering that include our fresh fruit and vegetables. We believe there is tremendous potential for growth in the salad and snack space as consumption continues to rise for fresh and healthy on the go meal and snack option. As you may know weather-related issues in South and Central America have caused global banana supply disruptions. Since we are just entering over and if current weather pattern continue, I believe the banana landscape could be further impacted. In closing, I am pleased with our performance in the first half of the year and I’m optimistic and hopeful about the second half of 2014. At this time, I would turn the call over to Richard.
Richard Contreras: Thanks, Mohammad, and good morning. For the second of 2014 excluding adjustments on a comparable basis, we reported earnings per dilute share of $1.19, compared with earnings per diluted share of $1.02 in the second quarter of 2013. Net sales increased to $107 million or 10.5% year-over-year to $1.1 billion. Gross profit increased 15% to $122 million, compared with gross profit of $106 million in the second quarter of last year. In addition, operating income increased 23% to $77 million, compared with operating income of $63 million in the prior year period and net income for the quarter increased 16% to $66 million, compared with net income of $57 million in the second quarter of 2013. In our banana business segment, net sales increased $48 million to $505 million compared with $457 million in the second quarter of 2013 due to higher sales volume in all of our regions and increase selling prices in Europe and the Middle East driven by favorable exchange rates in Europe, increase demand and lower industry supply. Overall, volume was 8% higher than last year’s second quarter, world-wide pricing increased 2% or $0.34 per box to $15.50 per box. Total world-wide banana unit cost was in line with the prior period and gross profit increased 44% to $50 million, compared with $35 million in the second quarter of last year. In our other fresh produce business segment for the second quarter, net sales increased $40 million to $518 million, compared with $478 million in the prior year period. Gross profit decreased to $56 million, compared with $62 million in the second quarter of 2013. In our gold pineapple category, net sales increased 27% to $172 million, compared with $136 million in the prior year, with strong sales in all of our regions driven by higher sales volume. Overall, volume increased 31% the result of increase production and higher yields from our farms in Costa Rica. Unit pricing was 3% lower and unit cost was 1% lower. In our fresh-cut category, net sales decreased to $107 million compared with $117 million in the prior year. Net sales decreased primarily as a result of lower sales volume in Europe, due to the previously announced loss of business in the U.K. The decrease in net sales was partially offset by increase sales volume in the Middle East and Asia along with higher pricing in Asia. Overall, volume was 9 % lower, unit pricing increase 1% and unit cost was 5% higher. In our melon category, net sales increased 15% to $40 million compared with $35 million in the second quarter of 2013. Volume increased 26%, unit pricing was 9% lower, and unit cost was 7% lower. In our non-tropical category, net sales were in line with the prior-year period. During the quarter, we experienced increased selling pricing of avocado in North America and higher sale volume of apples in the Middle East. The increase in net sales was partially offset by lower sales volume in our grape and stone fruit product lines. Total volume decreased 6%, unit pricing increased 6% and unit cost was 6% higher than the prior year. In our tomato category, net sales increased 34% to $33 million compared with $25 million in the prior year. Volume more than doubled driven by our new operations in Florida. Pricing was 35% lower as we shift to selling our high higher percentage of our volume in both forms versus value-add repack. And while unit cost was 19% lower, the cost was much higher than expected due to labor shortages we incurred during our first growing season in Florida. In our Prepared Food segment, net sales increased $19 million to $108 million, compared with $89 million in the prior year. And gross profit increased $7 million to $16million compared with $9 million in the prior-year period. Now, moving to costs. Banana fruit cost, which includes our own production and procurement from growers, increased 1% worldwide and represents 29% of our total cost of sales for the second quarter. Carton cost increased 1% and represented 4% of our total cost of sales. Bunker fuel cost decreased 1% and represented 4% of our total cost of sales. And total ocean freight which includes bunker fuel, third-party charters and fleet operating cost, decreased 7% and represented 12% of our total cost of sales for the second quarter. The foreign currency impact at the sales level for the second quarter was favorable by $14 million. And at the gross profit level, the impact was favorable by $18 million. Other expense net for the quarter was $4 million compared with other income of $18 million in the second quarter of 2013. The change in other expense was attributable to foreign exchange losses incurred during the second quarter of 2014 as compared to $16.6 million gain related to favorable judgment in the second quarter of 2013. As for our stock repurchase plan, during the second quarter, we repurchased approximately 548,000 shares for approximately $16 million. Total debt at the end of the quarter was $182 million. Income tax expense was $5 million during the quarter compared with income tax expense of $6 million in the prior year. And as it relates to capital spending, we spent $31 million on capital expenditures in the second quarter of 2014. We expect to spend approximately $150 million in 2014. And this concludes our financial review. We can now turn the call over for Q&A.
Operator: Thank you. (Operator Instructions) Our first question comes from Brett Hundley of BB&T Capital Markets. Your line is open.
Brett Hundley - BB&T Capital Markets: Hey good morning guys.
Mohammad Abu-Ghazaleh: Good morning, Brett.
Brett Hundley - BB&T Capital Markets: Hey Richard, just real quick, your CapEx is up a little bit from what you’ve previously guided to. Can you just talk about that $30 million delta and where you see that going?
Richard Contreras: It’s pretty much across the board. It’s some expansion in Asia, farm expansion in Asia and some additions also in the tropics. It’s pretty much across the board.
Brett Hundley - BB&T Capital Markets: Okay. And that’s banana farm expansion in Asia?
Richard Contreras: Yes.
Brett Hundley - BB&T Capital Markets: Okay. And is that new land or are you just updating existing?
Mohammad Abu-Ghazaleh: Most of it is new land.
Brett Hundley - BB&T Capital Markets: Okay. And then Mohammad, I wanted to give you a chance to give further color on one of the last comments you made in your prepared remarks, just about some of the weather impacts across the global banana landscape. We’ve heard of a couple issues across Latin America, some in Africa and I just want to get further color from you on what you’re seeing today and how that could potentially impact the industry from a supply standpoint and the pricing as well?
Mohammad Abu-Ghazaleh: Looking at the situation today, I think we have enormous situation. What has happened during the last three, four weeks actually took off, I mean, wiped out some of this surplus fruit that would have occurred during the summer and between September and October this year. So whatever happened in the last few weeks will not change actually the landscape of the banana industry because I believe it was all a matter of taking out surplus fruit that would have probably been more negatively impacted the markets going forward. If any between now and let’s say September, October, if any big event like the one we have seen in the last few weeks take place, definitely that will impact our banana supply going forward in winter which is the most important months of the year. Now, we have low demand and markets are very slow. So it works well with us, less supplies from the tropics and maintaining the market little bit more stable, especially in Europe and other markets. And I think that’s the only advantage we’re getting today as we speak. But going forward that all depends on how the weather will develop.
Brett Hundley - BB&T Capital Markets: Okay. That’s actually really helpful. So basically just to make sure I understand some of the recent weather has wiped out some surplus fruit or the surplus fruit. And so in the back half of this year, I guess, would you expect spot market, banana pricing to be more in line with where it was last year or because that surplus fruit has been removed, we could see a little bit better pricing on a seasonal basis in the back half of the year.
Mohammad Abu-Ghazaleh: I think we could expect a better pricing, less pressure that we have seen last year, less pressure than what we have seen last year. But if for whatever reason, we have very bad weather going forward, I mean, from now till October that can change the whole landscape. But so far I don’t see that there is going to be any big changes in the supply chain.
Brett Hundley - BB&T Capital Markets: Okay. Understood. And then your company, banana volumes have been moving higher, has any of this weather affected you recently, whereby your company volume growth could take a little bit of a hit in Q3?
Mohammad Abu-Ghazaleh: No, I think that we have enough volume going forward in -- as we speak, it depends on what happens the next couple of months. So far we have enough volume that can fulfill our commitments, be it here or other places. And as I said, it really was very helpful during this period of the year where we have low demand and less activity.
Brett Hundley - BB&T Capital Markets: Okay. And then just one more question on your banana business, you guys have done a pretty good job keeping your cost per box in your banana business close to last year. Would you expect that to continue in the back half of this year. I mean, you have a fairly easy comparison in Q3 where costs were up materially last year. So I would expect cost to decline somewhat in Q3 but I would just like to get your perspective on the management of your banana business and how cost can trend in the back half given that?
Mohammad Abu-Ghazaleh: Brett, to be honest with you, we have been struggling and still struggling to compare our cost into the banana business. It’s a very tough situation where costs are increasing and prices are stagnant. So as a matter of fact, while you mentioned this it’s a -- with a blow-out that we face in the last few weeks and some of the flooding we have lost sizable volume. On one hand, it’s helpful to reduce our exposure during the summer months. But on the other hand, it will reflect higher cost going forward because less fruit, it means less volume means that the fix cost is there but we have less volume which means at the end of the day, higher cost per unit.
Brett Hundley - BB&T Capital Markets: Okay. So you’re speaking specifically to Del Monte Fresh. You guys have seen some volume taken out?
Mohammad Abu-Ghazaleh: Yes, and I assume some of the other player in the market have faced the same situation as well. I don’t think that storm blows only on one side.
Brett Hundley - BB&T Capital Markets: Right.
Mohammad Abu-Ghazaleh: If that is from one place to the next, but I think in one degree or another, everybody was affected.
Brett Hundley - BB&T Capital Markets: Okay. Understood. And then your other first produce segment, can we just drill in a little bit more on the impacts on the gross margin line because sales were much better than I expected across a number of segments within other fresh but gross margin was below my forecast. And Richard, I think you talk some to what was occurring early on in your tomato business. But can you guys just give me a little further color on what drove gross margin down in other fresh this quarter?
Richard Contreras: I went through each product, how much price was up versus how much cost was up. So if you go back through that, you can see what products are higher or lower. I mean certainly we spoke about tomatoes which were lower in fresh cut. But again if we go back through that, we gave out for every product the increase in price or volume or cost. But those are the bigger ones.
Brett Hundley - BB&T Capital Markets: Okay. So the cost inflation in fresh-cut, cost inflation in non tropical, I guess we know some of the items in fresh-cut. Is non-trop still related to effects from Chile?
Mohammad Abu-Ghazaleh: Looking at this on a bigger picture, what is really happening is that we are facing headwinds and labor shortage, which is impacting us tremendously in terms of cost, in terms of operation in every respect. So our cost has been increasing steadily over the last 10 months, I would say. When we need a lot of labor and the labor is short and with all the complications that we have now with the regulations and we are still suffering today. And I believe many people in our areas or other areas are also suffering in that. On the other hand as well, trucking, transportation has been also a very big negative for us. We have been facing much higher freight rates across the country, shortage even of trucks and shortage of drivers, and that has also impacted us of course in the last I would say two quarters. So these are two headwinds that we are facing along with all the other issues that we have in the production and where we’re producing. So it’s actually problems at origin as well as problem in the USA today.
Brett Hundley - BB&T Capital Markets: Okay. I appreciate that color. I just have one other question and I will jump back in the queue. Mohammad, you’ve been paying down sizable levels of debt. Your debt is also pretty cheap, but you guys have been paying down debt. You have a strong balance sheet. But given the cash flow expectations for this year, can you discuss other potential uses of your balance sheet? Does it make sense to keep a certain amount of bank debt and divert cash flow towards dividends, M&A? Can you just talk a little bit to what is attractive to the company as it looks out over the next year or two regarding cash flow? I appreciate it.
Mohammad Abu-Ghazaleh: We are very transparent to that. We are rebuying our -- I mean buying back our share and we are doing this on a continuous basis. We are paying dividend consistently. We may look at that again depending on our cash flow and we are looking at acquisitions if anything that makes sense to us which a reasonable valuation, I think which adds to our existing operations and add value to it. I think we are looking at it very seriously. At the same time as you can see, we are really expanding and spending. We’re having a lot of expenditures which of course it will all turn into more business and more cash flow as we go forward. All these projects, we have a concentrated plan that is being built right now Costa Rica. We have big fresh-cut operation -- I mean facilities that being built in Japan right now. So we have so many things going on at this time and a lot of capital expenditures. We started the year thinking we would be 129, we are talking about 150, and these are all going to take away some of the cash that we are generating. So we are looking at all fronts. We are working -- I mean, we don’t have any issues at looking how we can increase shareholders value and benefits.
Brett Hundley - BB&T Capital Markets: So just real quickly, on M&A, can you at least give some type of ranking order for investors as far as what’s most important to you, maybe across your segments? So across bananas, other fresh and prepared, what’s an area that you are looking harder than others?
Mohammad Abu-Ghazaleh: I can’t discuss this on a conference call, but definitely we are looking at every opportunity that can make our business better definitely.
Brett Hundley - BB&T Capital Markets: Okay. I appreciate the comments, guys.
Mohammad Abu-Ghazaleh: Thank you.
Operator: Our next question comes from Jonathan Feeney of Athlos Research. Your line is open.
Jonathan Feeney - Athlos Research: Good morning. Thank you very much.
Mohammad Abu-Ghazaleh: Good morning, Jonathan.
Jonathan Feeney - Athlos Research: I was interested in the Middle East business, that 19% growth, could you tell us a couple things? Could you tell us about how big that business is now as a percentage of your total, and what kinds of products showed the strongest growth? I believe you mentioned one, but if you could give us the highlights and low lights from that business segment.
Richard Contreras: That total business, Jon, this year is, it’s about $550 million.
Jonathan Feeney - Athlos Research: Great.
Richard Contreras: And the growth is really across the board. I mean, banana, obviously, is the biggest volume, but all products are growing here, fresh cut, prepared. There is new product offering being introduced every day over there. All three actually grew quite a bit as well.
Jonathan Feeney - Athlos Research: I guess within that business mix, is there -- going forward, would you expect faster growth from some of the higher margin prepared items maybe that you can make as opposed to where presumably you already have strong market position in fresh? Or is this chiefly going to be a region where expanding in fresh is a strategy?
Richard Contreras: Hopefully both. I mean, we are expanding in fresh and a lot of that we talk about expanding the farms in the Philippines, some of that obviously goes to the Middle East. So we are expanding there, but again there is new as you say higher margin fresh-cut products being introduced every day and prepared. So, yes.
Jonathan Feeney - Athlos Research: How does the competitive landscape differ in that market than maybe -- at least contrast it with your North American market, both on the fresh and prepared side.
Richard Contreras: Say that again Jon, I am sorry.
Jonathan Feeney - Athlos Research: How does the competitive landscape look in the Middle East relative to some of your other markets? Is it the same big global players, both in fresh? And how does it look both on the fresh and prepared side, competitively?
Mohammad Abu-Ghazaleh: We are the only multinational that has an actual presence in the markets. That makes a big difference where a lot of small importers, wholesalers, operators and it doesn’t mean that we underestimate their strength and capabilities, but I think we are the only and that’s what gives us maybe the advantage that we are not only importing fresh, but we have lot of other businesses that is growing there that alongside the fresh the whole say fruit like bananas or pineapples or others. So we are expanding across the Middle East and the growth is not only in one country or two countries, but we are growing in many countries in the Middle East, in the main region which is showing this kind of growth that Richard just mentioned. And we have so many things going on right now and I believe that the growth would continue how big or is it in the same kind of digits that we just mentioned, that to be seen, of course.
Jonathan Feeney - Athlos Research: And just one last one, please. The major announcement in the industry a few months ago that two of your competitors were merging. Has that impacted -- the Chiquita Fyffes pending transaction impacted either customer or competitor behavior, particularly in Europe, where that merger is most meaningful?
Mohammad Abu-Ghazaleh: No, we haven’t seen anything of that sort of, although the merger is welcome step into consolidating the business and hopefully giving a sense of stability and hopefully better future. But definitely, it hasn’t changed any on the landscape in Europe as we speak. Maybe after the merger is taking place, hopefully, it can lead to the better.
Jonathan Feeney - Athlos Research: Great. Thank you very much for your time.
Mohammad Abu-Ghazaleh: Thank you.
Operator: Thank you. I am showing we have a follow-up question from Brett Hundley of BB&T Capital Markets. Your line is open.
Brett Hundley - BB&T Capital Markets: Hey, thank you. I appreciate it. Just had a couple others I wanted to touch on. We have heard of some UK retailers lifting pricing on fair trade bananas. And I was just curious, Mohammad, if you have seen this more broadly or not?
Mohammad Abu-Ghazaleh : Unfortunately, I wish it was a broad tendency but a trend that was two retailers that have increased their prices and it was not followed by the other large retailers. So as we speak, we don’t see any kind of impact on pricing going forward.
Brett Hundley - BB&T Capital Markets: Okay. And then in your prepared foods business, margins have slowly been picking back up since Q4 of last year. And I was wondering if you can talk to some of the broad drivers. I want to make sure that this improvement can be sustained. And really, I am curious if you can get back to the profitability that you saw in that segment back in 2011 and 2012?
Mohammad Abu-Ghazaleh: We definitely are working towards that how this can happen. That’s I said in the previous conference call that the industry has improved. I mean, concentrate pricing has improved because Thailand and other sources have been very, let’s say, short and that has pushed the prices up on concentrate and byproducts. So that helped us significantly, as well as we are trying to increase and improve our pricing on our existing SKUs, like canned pineapples or peaches or all the other products that we are producing. It’s important to note that in Europe the private label is extremely strong and prevailing in the supermarket, in my opinion much more than what we have seen in the USA. However, I think that to our credit that Del Monte is probably, if they want to stock in the supermarket or leaving their shelves, any product that is non-private is usually Del Monte. Even though we are trying, we increased the prices and we’re trying to increase the prices, but the only product or one of the few products that you will see there is definitely Del Monte on the shelves. So that’s a good indication that in spite of our increased pricing, we’re still being able to keep selling and being on the shelves on these retailers. So all in all we are trying to diversify our business and to prepare by introducing new items and new ideas which is helping us as well. So we -- hopefully, we can look forward to a stabilized pricing or stabilized margins that we have achieved this quarter.
Brett Hundley - BB&T Capital Markets: Okay. That's really helpful. I appreciate that. And then just two other questions for you, Richard. One is, on some of the early issues in tomatoes, labor, et cetera, when do you see that getting better? Does that happen next quarter? Does it take until early 2015? Can you give us some type of idea on maybe when tomatoes can normalize a little bit, in that regard?
Richard Contreras: Yeah. That’s better as we speak. Most of those issues we talked about was short Florida season, which was just a couple of months. Now we have moved up to Virginia and we talk about our farm operation and then we will be back in Florida in the fall. So for next quarter, for sure that should be behind us.
Brett Hundley - BB&T Capital Markets: And do you see your business mix there improving or do you continue to think that just given more sizable operations now, it will skew towards bulk and we should think about maybe margins coming down, but some of those other issues coming off?
Richard Contreras: No, not at all. So it is skewing more toward bulk because you’re selling 25 pound boxes of tomatoes out of the farm versus small repacked and clamshells and repacked. So the percentage of -- we were still selling the value add but the percentage is more bulk. So the sales price will come down but the cost will come down significantly. So the margin should increase.
Brett Hundley - BB&T Capital Markets: Okay. Perfect. And then just on…
Mohammad Abu-Ghazaleh: Let me add to this provided that labor is available, that’s the big issue that we are facing.
Brett Hundley - BB&T Capital Markets: I'm sorry, I didn't catch that.
Mohammad Abu-Ghazaleh: Provided that we have enough labor to …
Brett Hundley - BB&T Capital Markets: Got you. Okay. And then just my last question is on SG&A expense leverage, Richard. More of just a housekeeping here, it was down nicely, your expense ratio in the quarter. And usually in the back half, you see some inflation on that ratio, but do you think that you guys have taken a more structural step down in your expense ratio, given some of the things that Mohammad talked about with efficiencies and everything, or was this just more of a one-time event during the quarter?
Richard Contreras: No, we certainly have put in the cost-cutting initiative across the board, not just in SG&A but certainly in SG&A. But as far as your modeling, I mean, we were at 4%, I think, for the quarter. And I certainly wouldn’t model less than that.
Brett Hundley - BB&T Capital Markets: Okay. I really appreciate your time, guys.
Operator: Thank you. And at this time, I see no further questions. I’d like to hand the call over to you, Mr. Abu-Ghazaleh.
Mohammad Abu-Ghazaleh: Thank you very much, Vincent. And I would like to thank everyone for being -- attending for our conference call today. And hope to speak with you the end of this quarter with as good news as we have today. Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude your program. You may all disconnect. Everyone have a great day.